Operator: Welcome to Capital Power's Fourth Quarter 2015 Results Conference Call. At this time, all participants are in listen-only mode. Following the presentation, the conference call will be opened for questions. This conference call is being recorded today February 19, 2016. I will now turn the call over to Randy Mah, Senior Manager, Investor Relations. Please go ahead.
Randy Mah: Good morning and thank you for joining us today to review Capital Power's fourth quarter and year end 2015 results, which were released yesterday. The financial results and the presentation slides for this conference call are posted on our Web site at capitalpower.com. We will start the call with opening comments from Brian Vaasjo, President and CEO; and Bryan DeNeve, Senior Vice President and CFO. After our opening remarks, we will open up the lines to take your questions. Before we start, I would like to remind listeners that certain statements about future events made on this conference call are forward-looking in nature and are based on certain assumptions and analysis made by the company. Actual results may differ materially from the company's expectations due to various material risks and uncertainties associated with our business. Please refer to the cautionary statement on forward-looking information on Slide number 2. In today's presentation, we will be referring to various non-GAAP financial measures as noted on Slide number 3. These measures are not defined financial measures according to GAAP and do not have standardized meanings described by GAAP, and therefore are unlikely to be comparable to similar measures used by other enterprises. Reconciliations of these non-GAAP financial measures can be found in the Management's Discussion and Analysis for 2015. I'll now turn the call over to Brian Vaasjo for his remarks starting on Slide number 4.
Brian Vaasjo: Thanks Randy. I will start off by reviewing our highlights for 2015. Capital Power delivered solid performance in 2015 with the company meeting or exceeding its annual operating and financial targets. This included achieving average plant availability of 95% compared to the 94% target. We also generated $400 million in funds from operations, which was at the upper end of the $365 million to $415 million target range. We also continued to strengthen our contracted cash flow with the addition of three new facilities in 2015 with 305 megawatts under long-term PPAs. The Shepard Energy Center, K2 wind and Beaufort Solar were all added to the fleet during the year on time, neither on or below budget. We increased the annual dividend by 7.4% and provided annual dividend growth guidance of 7% per year for the next three years out to 2018. Finally, through our share buyback program, we repurchased approximately 6 million common shares that represented approximately 7% of the outstanding shares at the beginning of 2015. Turning to Slide 5, I want to provide an update on the impact of the Alberta Climate Leadership Plan. We continue to wait for further details on the plan that was announced by the Alberta Government last November. One component of the Climate Leadership Plan is the accelerated phase of the coal facilities with replacement generation coming mostly from renewables. We are well-positioned to participate in this opportunity as you can see in the chart; Capital Power is a leading IPP developer in the Alberta market. With our construction expertise, we are well-positioned to develop and build renewables in natural gas fired facilities. Moving to Slide 6, the other aspect of the accelerated phase out of coal facility is how the government of Alberta will compensate companies that are impacted. The government has stated that they are committed to avoid unnecessary stranding capital into three companies fairly. Our continued understanding is that we will be fairly compensated for the yearly shutdowns of Genesee 1 and 2 and our 50% interest in Genesee 3 and Keephills 3. This belief is based on the government's statement and their planned introduction of the carbon competitive regulation or carbon tax starting in 2018, which is expected to generate several billions in new government revenues. At this time, we are still awaiting the appointment of a facilitator, our understanding is that the Alberta Government is aiming to announce the facilitators name and mandate in the near future and will commence discussions with the affected coal companies at that time. We expect details regarding the timeline in terms of reference will be published once the facilitator is announced. For Capital Power, ensuring we receive fair compensation remains a top priority. Turning to Slide 7, I would like to provide an update on our Genesee 4 and 5 project. In 2015, limited construction activities took place due to the uncertainties stemming from the Climate Leadership Plan. We worked with the turbine manufacture and have deferred the original March 1, 2016, full notice to proceed deadline; this deadline has been deferred by up to 90 days from March 1. Further investments in the Alberta market including continuation of construction of Genesee 4 and 5 project will be considered one sufficient detail around the CLP is released and the company has assessed the impact on its existing Alberta assets. If Capital Power were to proceed with the Genesee 4 and 5 project with targeted completion as early as 2020, we need to have certainty with respect to the three critical issues. First, fair compensation from the Alberta Government for the projected accelerated closure of coal fired facilities. Second, clarity that implementation of the CLP will have no adverse impact on the Alberta electricity market design. And last, appropriate price signals from the energy-only market. On Slide 8 is a summary of our plant availability operating performance our plants for the fourth quarter of 2015 compared to the same period a year ago. We had outstanding operational performance in the fourth quarter with average plant availability of 99% compared to 94% in the fourth quarter of 2014. As you can see plant availability across the entire fleet was in the high 90s with the exception of our Southport facility, which is was at 93%. Turning to Slide 9, as you see in the chart, 2015 was consistent with past performance. Capital Power has a proven track record of high fleet availability, in the last five years we have achieved 93% average annual plan availability and we expect to continue the strong operational performance in 2016 where we are targeting plant availability of 94% or higher. I will now turn the call over to Bryan DeNeve.
Bryan DeNeve: Thanks Brian. Starting on Slide 10, I would like to review our fourth quarter financial performance. As Brian mentioned we had a strong quarter with 99% average plant availability and 23% increase in electricity generation compared to the fourth quarter of 2014. We generated $125 million in funds from operations representing the highest FFO in a quarter in three years. Normalized earnings per share was $0.42 compared to $0.20 a year ago. The average Alberta power price was $21 a megawatt hour in the fourth quarter compared to $30 a megawatt hour in the fourth quarter of 2014. Despite the 30% year-over-year decline, our trading desk captured a 162% higher realized average price of $55 a megawatt hour versus a spot price of $21 a megawatt hour. Moving to Slide 11, the strong performance from our trading desk has been evident over a longer period of time. The orange line in the chart represents Capital Power's realized price for managing our exposure to commodity risk in reducing volatility. As you can see not only is there less volatility compared to the average spot price shown by the green line Capital Power's average realized power price has exceeded the spot price by 25% on average in the past six years. So we continued to see consistent material value creation from our portfolio optimization activity. Turning to Slide 12, I will review our fourth quarter financial results compared to the fourth quarter of 2014. Revenues were $341 million down 21% from Q4 2014 primarily due to the unrealized changes in fair value of commodity derivatives and emission credits. Excluding mark-to-market changes plant revenues were up 11%. Adjusted EBITDA before unrealized changes in fair values was $133 million up 28% from the fourth quarter of 2014 result of higher generation across the fleet, the addition of Shepard in a full quarter from Macho Springs. Normalized earnings per share of $0.42 increased to 110% compared to $0.20 a year ago. As mentioned, we generated strong funds from operations of $125 million in the fourth quarter, which were up 23% year-over-year. Turning to Slide 13, I will cover our 2015 annual results compared to 2014. Overall, 2015 results showed year-over-year improvement across all financial measures. Revenues were $1.25 billion up 2% year-over-year primarily due to strong portfolio optimization results. Adjusted EBITDA before unrealized changes in fair values was $462 million up 19% from a year ago primarily due to higher contributions from the Alberta commercial plants and from Alberta contracted plants. Normalized earnings per share were $1.15 in 2015 up 60% compared to $0.72 in 2014. We generated $400 million in funds from operations in 2015, which is 10% improvement from 2014. I will conclude my comments with our financial outlook on Slide 14. For 2016, our FFO guidance of $380 million to $430 million is based on the Alberta baseload plants being 100% hedged at the start of the year at an average hedge prices in high $40 a megawatt hour range. This compares favorably to the average 2016 forward price of $35 a megawatt hour as at the end of 2015. Although our baseload position in 2016 is fully hedged, we have the ability to capture additional upside in power prices with our peaking in wind facilities. We will also see a full year of operations from Shepard, K2 wind and Beaufort Solar in 2016. For 2017, we are 38% hedged at an average hedge price in the low $50 a megawatt hour range. And for 2018, we are 9% hedged in the mid $60 a megawatt hour range. The forward prices for 2017 and 2018 at the end of 2015 were $40 and $51 a megawatt hour respectively. Overall, we are managing current lull of Alberta power prices with continued cash flow per share growth in 2016. I will now turn the call back to Brian Vaasjo.
Brian Vaasjo: Thanks Bryan. Starting on Slide 15, I will conclude my comments by reviewing our 2015 operational and financial performance versus targets and recap our 2016 targets. As mentioned our 95% plant availability performance in 2015 exceeded the 94% target. For 2016, our average plant availability target is 94%, which includes major plant outages at Genesee 2 and 3, Clover Bar Energy Center, Joffre and Shepard. Our sustaining CapEx was $62 million in 2015, which was slightly below the $65 million target. We are targeting $65 million for 2016. Our plant operating and maintenance expense for 2015 came in at $192 million, which was in line with our target range of $192 million to $200 million. For 2016, we are targeting $200 million to $220 million for plant operating and maintenance expenses. And as previously mentioned, we achieved the upper end of our 2015 financial guidance by generating $400 million in funds from operations. For 2016, we are targeting FFO in the range of $380 million to $430 million. Turning to Slide 16, we have two development and construction growth targets in 2016, as mentioned the timing for full notice to proceed for Genesee 4 and 5 is contingent on clarity with respect to the impact of decisions from the Alberta Government's Climate Leadership Plan and the appropriate price signals from the Alberta energy-only market. The second growth target is executing a PPA for a new development. The progress on our Bloom wind project is at the most advanced stage at this time. Bloom wind is 180 megawatt wind project in Kansas and construction is ready to go once an agreement can be executed. I will now turn the call back over to Randy.
Randy Mah: Thanks Brian. Mike, we are ready for the question-and-answer session.
Operator: All right. [Operator Instructions] All right. We do have a few questions. First one comes from Andrew Kuske from Credit Suisse. Please go ahead.
Andrew Kuske: Thank you. Good morning. I guess when you look in the quarter; you guys once again had a really good realization versus weak power markets in Alberta. So when you think ahead into 2016, and then beyond, do your strategies change just given the weakness in the power market. How do you maintain that kind of spread or at least really positive spread over the existing prices versus what you've realized historically?
Brian Vaasjo: So, when we look at 2017, as I mentioned, we are 30% -- 38% hedged for that year. We have locked that in at prices that are higher than current forwards. Certainly as we move forward, we will continue to evaluate how forwards look relative to our own internal fundamental view of prices and make decisions on that basis. Certainly as we approach closer to 2017, we will be looking to increase that percentage hedged amount and work our way towards a higher hedge percentage.
Andrew Kuske: And then, maybe just an extension on that, what's motivating customers, or your customer conversations to actually engage in power contracts right now at what we see in the forward curve levels versus just say staying open on spot?
Brian Vaasjo: I think that's definitely one of the factors in the market right now. So the lull power prices and low volatility does provide a comfortable environment for customers. But as the market tightens and we see events occur such as unexpected outages, or more extreme weather events that will bring volatility back to the market and will drive higher percentage of customers looking to start the lock-in prices.
Andrew Kuske: Okay. That's helpful. And then, maybe a broader question for Brian, if I may. Just as it relates to receiving compensation from the government, you practically -- does there have to be some kind of agreement in principle at least between yourselves Canadian Utilities and TransAlta and three legacy coal owners in the province and size on the nature, or the form of the compensation model?
Brian Vaasjo: So Andrew very, very good question. As we look forward, there will certainly be elements, or process that are defined by the government and the arbitrators. So for example, they may define that they will meet with companies separately as opposed as a group. But our understanding is on the issue of compensation. They will be directly engaging list of the four coal companies and actually no other industry participants. So that's quite positive. We would expect to be in common meetings. And I think we all of the coal companies do recognize that the more we are aligned on our views and our expectations and principles likely the more successful will be. So there are certainly efforts underway to -- and they always has been efforts among the coal companies from time-to-time two work together on these issues.
Andrew Kuske: Okay. Thank you.
Operator: All right. Next we have a question from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan: Good morning. Maybe I will just follow-up on that last answer Brian just around alignment kind of almost being necessary to push this forward at least a little bit faster. If I look at what you are saying around G4, G5, almost seems like you're implying that the energy-only market works that you don't see the need for major changes in market structure and I think it's very similar to what you said in the past. But we are also hearing some very different things, or potentially different views from some of the other companies. So I'm just wondering if you can reconcile whether you guys are changing your view, or you think they maybe changing, how did you get this alignment going forward?
Brian Vaasjo: So maybe a way to sort of characterizing. And again, this is my personal view. Is there -- is some skepticism in the market in general amongst some players and more broadly than just the coal folks and as we go through this process whether the other end there will be a viable energy-only market in Alberta. Our view is that with the appropriate decisions and policies established there will be. And what we've seen from the government so far in terms of indicating the directions that they are going, we do believe that will leave a very viable energy-only market. I think that the other companies, and again, this is my view, our -- perhaps less skeptical or more skeptical that those principles will be enacted sort of as is and that the market will survive on the other side. So I don't think it's a -- I don't think it's a view that others would not invest in the energy-only market. I think recently TransAlta has been making some announcements that aren't premised on there being a different market. It's just a different outlook as to whether or not the energy market -- energy-only market will be as fundamentally sound as it has been over the last 15 years. In our view that will be. Again, if the -- some way government follows through on what they established as the direction that they are going.
Robert Kwan: Understood. So are you willing to move to the more contracting position, or are you expecting if there is going to be alignment that people have to come to you or to come to where you are?
Brian Vaasjo: You mean that wanting a fully contracted market going forward?
Robert Kwan: Well, or even just a contracted market for new generation, some sort of hybrid market?
Brian Vaasjo: Well, there certainly is hybrid market so to speak on the renewable side. And we are -- and again, given the direction that the government is going, we see that as being very complementary to the energy-only market. When it comes to decision on the building of natural gas plants, we would see that's necessarily market does not contracted -- I mean it can bilaterally among load and generators, but not becoming a contract market in a broad basis. And so that's where we see that there is a difference, but -- certainly on the contracted side, or on the renewable side, we do anticipate that will be a significant component that will be contracted. And we will participate in that happily.
Robert Kwan: Okay. If you just look at how this relates under G4 and G5, I guess, first, can you push the date back further is this good as it gets. And then, if there is kind of some clarity that it will be an energy-only market and that the market structure is largely unchanged. What type of price signals from that energy-only market are you looking -- I assume you are not going to be looking at spot, but more so forward curve. Do you have a sense as to what levels and do you need to have enough term -- like how much term given there is a lack of liquidity, are you going to meet to underpin that decision?
Brian Vaasjo: So when we look at that overall picture, there was a couple of questions there tied together. We do need to see the appropriate pricing, and of course, issues like compensation and so on being satisfactorily resolved. But assuming that's all the case and we are looking at just the economics and a good energy-only market. I think all parties, forecast in the 20, 20-ish timeframe with the retirement of coal plants and even with low growth in the province that you will see power prices in that's a $65 and up range. And where natural gas prices are today that's appropriate price signals to move on forward on something like G4, G5.
Robert Kwan: Okay. So just needing to see something in the curve and that expectation versus actually needing to lock-in something for term?
Brian Vaasjo: Well, and just to remain you that half of our investment in G4, G5 is contracted -- going to have contracted going into it. SO our merchant position is relatively small.
Robert Kwan: And then, can you push the turbine agreement back any further or is this it?
Brian Vaasjo: The way its -- and as its -- as we've discussed over the last couple of years, those contracts were put together to be very flexible. And what we are up against now, isn't the flexibility of the contract because it certainly can get pushed out further. But you start running into logistical window problems and small push out in time now might result in the completion of the project being a year down the road. So that's more -- we are not against the contractual issue right now, it's more logistical issue of delivering the project in a timely basis.
Robert Kwan: Okay. So basically you have to take the turbines, or make the decision by the beginning of June or you could be into mid-2017?
Brian Vaasjo: If you reached a point where you were going to actually miss the window on completion, you could defer it -- defer the decision, but your completion would be deferred a significant amount of time. You're talking about numbers of months as opposed to kind of months -- for month or day for day as it exists now.
Robert Kwan: Okay. Got it. Thanks very much.
Operator: All right. Next question comes from Linda Ezergailis from TD Securities. Please go ahead.
Linda Ezergailis: Thank you. I just want to follow-up on questions around how you are looking and acting over the long-term. Given some of the uncertainty around market structure et cetera, are you going to hold-on and I realize there is not much liquidity in 2018. But, how comfortable are you hedging or adding to your position in an environment where you don't even know what the structure or the rules are?
Bryan DeNeve: Well, I think when we look at what has been announced and I will reiterate what Brian said earlier. The recommendations that have been put forward to the government are all aligned and all worked towards maintaining the structure of the Alberta market as it has worked in the past. And as we move forward and made decisions on selling power forward, our belief is that that market structure will be allowed to continue to work as it has and we will make those decisions accordingly. I think in terms of the real key on the market structure is the timing of renewable procurements aligning with the timing of coal retirements. Everything we've heard from the government is that -- that's how it will proceed. So when we look for signals in the market when we see increasing prices adequate for a new build that sits in the 2020 timeframe that's following 1000 megawatts retirement of coal. So we'll be making our investment decisions and/or hedging decisions on that basis of the market design continuing to operate as it has.
Linda Ezergailis: Okay. Thank you. And just a follow-up question, it was good to see that wind is still on standby, can you give us a sense of what the timing might be for an agreement?
Brian Vaasjo: Linda -- so we are actually as we speak we are working with -- we are working on agreements like it's not that we are not participating in an auction and we will see the results. We are actually moving on the commercial side of it. So I mean discussion and agreements can always fall apart for whatever a different kinds of reasons we are proceeding down the path of having something in the relatively near term.
Linda Ezergailis: Okay. That's good to hear. And any updates on some of the other opportunities that you are looking at whether it would be in the U.S. or be BC or Saskatchewan?
Brian Vaasjo: Well, we continue to see opportunities this year in terms of, I will call the element portfolio in the U.S. and that's likely one or optimistically maybe two given various PPA offerings in the states that we are operating in or potentially operating in. On the Canadian side certainly and depending on the details of the timing that the Alberta government comes out with we are preparing to have wind farm or wind farms bid into PPA process or actually erect process as early as one could be called. And that may well happen this year in terms of calling of a process and moving forward. So we see opportunities here in Alberta. Don't really see many opportunities outside of that in Canada that are immediately on the horizon.
Linda Ezergailis: Okay. That's helpful. So just another follow-up to that, when you think of capital allocation given that you have some pending investment possibilities, how do you think of share buybacks versus kind of keeping your powder dry for these opportunities?
Brian Vaasjo: So certainly as we have increased number of opportunities on the horizon, our preference is to allocate our capital to those growth opportunities over doing something like share buyback. So at this point in time that will be our priority for capital as we move forward and those opportunities materialize.
Linda Ezergailis: Thank you.
Operator: All right. Next we have a question from Paul Lechem from CIBC. Please go ahead.
Paul Lechem: Thank you. Good morning. Just revisiting some of the comments on Genesee 4 and 5, Brian just -- it seems there's a -- to fully delay the notice to proceed on the turbine beyond the 90-day period. I'm just wondering why -- why not wait -- what are the downsides of waiting until the compensation discussions have been completed, that there is more clarity on the outcome? Is there a concern that competitive projects could jump in front of you in the queue, or I mean given -- it seems like yours is most ready out of all of them. Is that a reality? I'm just trying to understand the timing decision of why not wait a longer period?
Brian Vaasjo: So Paul, one of the successes in the Alberta market is, generally speaking, the timing of new generation coming in even though it's been driven by a market other than with the Shepard facility, which was driven by initially other economic considerations. The market has been well-served by-timely generation. As we see it in -- when you have 900 megawatts of retirement taking place in 2019 that creates a significant hole and we see it as -- it is appropriate for the industry to respond and to fill that hole. And so, that's the primary element, is there's a right time for generation -- specific generation to come into the market. So, our view is that if we defer it a small time now on the front end, what it actually does is it moves the tail end schedule significantly again in terms of a number of months and you start running into a period of time in the province when -- I'll say the supply isn't as it should be. Having said that, are we concerned about losing a position of being first in the market and so on, or losing what I call as the pole position? No. We think we're very, very well positioned, and again, ready to pull the trigger at any point in time as opposed to then having to develop agreements and so on and start execution. So that's not a concern and that's certainly not a reason why we would pull the trigger on a project when we're not comfortable. And some of the words that you were using was suggesting that we would pull the trigger when we were potentially not comfortable with compensation or the market going forward. That's not the case. We need to be comfortable before we pull the trigger. So and if that means the project is deferred and if that means ultimately the project doesn't get done because we "lose the pole position," so be it. But, we're not going to invest capital when we don't feel comfortable in the investment environment.
Paul Lechem: That's helpful. Thanks. Appreciate those comments. And just on the front end PPA, we have seen ENMAX return one of the PPA's to the balancing pool. Just wondering your thought process, I mean you are 100% hedged in 2016, so I guess it's not an issue for 2016, but beyond that what are your thoughts around the value of holding onto the Sundance PPA rather than returning it? What are going to be your decision points around that?
Brian Vaasjo: So, certainly any considerations around the Sundance PPA is subject to confidentiality provisions both in terms of the PPA and with our power syndicate partners. So we can't comment at this point in time on anything specifically regarding the Sundance PPA. Obviously, we continue to valuate all of our existing assets and looking at ways to optimize around those assets.
Paul Lechem: Okay. Thanks Brian.
Operator: All right. Next we have a question from Jeremy Rosenfield from Industrial Alliance. Please go ahead. 
Jeremy Rosenfield: Yes. Thanks. Let me just start by following up on that last line of questioning, without going into details on Sundance and that asset specifically, can you just sort of comment in terms of where you see power prices developing over the 2017 to 2020 timeframe relative to where the forward curve is right now and your sort of interpretation as to what prices might actually look like?
Bryan DeNeve: Our perspective is that the curve forward prices in Alberta are a fair reflection of expectations around where prices will settle. So certainly, at this point in time we think that is a reasonable representation.
Jeremy Rosenfield: Okay. And you did have some disclosure in the MD&A about payments on the Sundance PPA, somewhere between $100 million and $150 million over the term and I'm just curious, if that's the total or the annual amount? You can get back to be me afterwards. That's okay.
Bryan DeNeve: No, no. That's fine. That reference is actual to the reference as the annual amount.
Jeremy Rosenfield: Annual. Perfect. That's what I thought. Just with regard to the G4 and 5, in terms of the extension, just a little cleanup there, is there actually any cost on your part in terms of having to extend the supply with the window to find the supply agreement, or is it really a no-cost?
Brian Vaasjo: So just to be clear, the supply agreement is signed. We have an agreement in place and part of the provision is as we move the timeframe, there are escalation elements in that agreement. So it does cost to move the project out.
Jeremy Rosenfield: Okay. In terms of what that does on the -- let's say total potential return on the project, are you -- is that immaterial?
Brian Vaasjo: The escalations are in line with kind of higher end of inflation type numbers. So it doesn't for small periods of time it doesn't have a material impact on the project.
Jeremy Rosenfield: Okay. And then maybe just one other -- 
Brian Vaasjo: But again, recognizing that's a fairly large project. You could consider that the cost of moving it is in the millions of dollars, but again, it's in hundreds of millions of dollars in terms of the nature of the project.
Jeremy Rosenfield: Sure. That's what I was thinking. My question is really around if you look at the total return that you expect to achieve on a percent basis, let's say we are talking about a basis points here or there.
Brian Vaasjo: Yes.
Jeremy Rosenfield: Right. Okay. And just to clean up in terms of the K2 wind project there was just some disclosure in terms of a return of capital in the quarter specifically and I wanted to just confirm that this was a specific to the fourth quarter and it's not something that you expect to be receiving on a go-forward basis?
Bryan DeNeve: Yes. In terms of the portion related to the capital fees that would be just related to one time in Q4.
Jeremy Rosenfield: Okay. Perfect. Thank you. Those are my questions.
Operator: Right. And the last question we currently have in the queue comes from Ben Pham from BMO Capital Markets. Please go ahead.
Ben Pham: Thank you. One question from me. On your hedges for 2016, the 100%, and I wanted to ask, the last time you guys came into the year with that higher percentage of hedges, the following summer you were short on production and it did significantly impact your results. So knowing that have you done anything different this year when you look at what happened before just on the hedges, how you structured that? Are you pretty much assuming that there could be some potential risk but it's worth it because you are protecting a downside?
Brian Vaasjo: I think that's a fair characterization, Ben. So being fully hedged, yes, we do take on some higher operational risk. But given how well the fleet has been performing and we look at that risk relative to protecting against the downside in the low price environment, that's a trade-off that we make. But certainly as we look forward given how strong the assets are operating, we see that as being a reasonable risk for us to take.
Ben Pham: Okay. Thank you.
Operator: All right. And we don't seem to have any further questions in the queue at this time.
Randy Mah: Okay. If there are no more further questions we'll conclude our call. Thank you, everyone for joining us today and for your interest in Capital Power. Have a good day.